Operator: Good afternoon and welcome to Asure’s Third Quarter 2024 Earnings Conference Call. Joining us for today’s call are Chairman and CEO, Pat Goepel; Chief Financial Officer, John Pence; and Vice President of Investor Relations, Patrick McKillop. Following their prepared remarks, there will be a question-and-answer session for the analysts and investors. I would now like to turn the call over to Patrick McKillop for introductory remarks. Please go ahead.
Patrick McKillop: Thank you, operator. Good afternoon, everyone, and thank you for joining us for Asure’s third quarter 2024 earnings results call. Following the close of the markets, we released our financial results for the quarter. The earnings release is available on the SEC’s website and our Investor Relations website at investor.asuresoftware.com, where you can also find the investor presentation. During the call today, we will reference non-GAAP financial measures, which we believe to be useful to investors and exclude the impact of certain items. A description and timing of those items, along with the reconciliation of non-GAAP measures to the most comparable GAAP measures can be found in our earnings release. Today’s call will also contain forward-looking statements that refer to future events and as such involve some risks. We use words such as expects, believes and may to indicate forward-looking statements. And, we encourage you to review our filings with the SEC for additional information on factors that could cause actual results to differ materially from our current expectations. I will hand the call over to Pat in a moment, but I just wanted to take a moment to remind folks of our upcoming Investor Relations activities. On November 19, we will be attending the Craig-Hallum Alpha Select Conference in New York, followed by the ROTH Technology Conference on November 20, also taking place in New York. On November 21, we will attend the Stephens Annual Investment Conference in Nashville, and have an Executive Team member attend the Needham SaaS Virtual Conference that day. During the month of December, we will attend two virtual conferences, the TD Cowen Human Capital Management Summit on December 9th and on December 12th, the Northland Capital Markets Conference. Investor outreach is very important to Asure, and I would like to thank all of those that assist us in our efforts to connect with investors. Finally, I would like to remind everyone that this call is being recorded and it will be made available for replay via a link available on the Investor Relations section of our website. With that, I would now like to turn the call over to Pat Goepel, Chairman and CEO. Pat?
Pat Goepel: Thank you, Patrick, and welcome everyone to Asure Software’s third quarter 2024 earnings results call. I’m joined on this call by our CFO, John Pence, and we will provide a business update for our third quarter 2024 results as well as our outlook for the remainder of 2024 and our initial 2025 outlook. Following our remarks, we will be available to answer your questions. Our third quarter revenue was $29.3 million which was flat relative to prior year, owing to an approximate $5 million decrease in non-recurring ERTC revenue. Excluding the ERTC comparison, total revenue and total recurring revenue both grew by 20% compared to last year. Importantly, recurring revenue in the third quarter was 98% of our total revenue compared with just 81% in the prior year’s period. As you know, recurring revenue is significantly more valuable than non-recurring revenue. Our focus has been on replacing the lower value ERTC revenue with recurring revenue and you can see the result of our efforts in the improved revenue mix in the third quarter. Key drivers of our revenue performance in the quarter include acquisitions and organic growth from expanding portfolio of solutions. In terms of acquisitions, we have acquired 12 companies over the past four quarters with repetitive revenue of approximately $15 million. The average purchase price is equivalent to about a 2.6 multiple on repetitive revenue. The acquisitions have been primarily of payroll resellers, but we’ve also been able to round out our solution set. For example, HireClick gives us the scalable solution for our clients to help them manage and have success with their hiring programs. We plan to expand HireClick’s applicant tracking system nationally and believe it brings capabilities that fit a key need for our clients and thereby enables us to provide a more comprehensive solution set and capture wallet share. Turning to our organic performance, the 5% organic recurring revenue growth in the quarter did not meet our expectations. However, we believe we have had some really encouraging leading indicators and momentum in place as we finish 2024 and embark into 2025 that will accelerate our organic performance. Our sales bookings were up 141% compared to last year. Our current backlog has grown 35% sequentially from Q2 to Q3 2024 and is up 250% versus prior year. This will set us up nicely for double-digit organic growth in 2025. We also have a strong pipeline of tax solutions for large enterprises. In the past, we shared our thoughts about the relatively unique assets we have in the tax base and we’re now beginning to capitalize on it with some very large deals in process of going live in a very robust pipeline. We’re pleased to report that we went live with additional Workday and SAP clients. Important sales wins have included one America’s largest grocery store chain and a nationally known Human Capital Management system integrator that assists large enterprises with Workday, SAP and Oracle, Human Capital Management implementation. In the quarter, our repetitive growth was broad-based and we’ve expanded our product offerings and our partnerships to better serve businesses of all sizes. Initiatives that we’re excited about include 401(k) solutions for small businesses. This initiative leverages the government’s Secure 2.0 Act, which encourages adoption and provides funding for 401(k) plans for small businesses. In addition to our brokerage capability in the benefit space, we have also recently introduced workbench compensation solutions as well as preventative healthcare solutions for small businesses. We are very excited about the upcoming launch of a new financial services product called AsurePay. AsurePay is an innovative alternative to online banking for working Americans, while also providing advantages to employers with employee attraction, retention and overall efficiency. Delivered via an easy-to-use mobile app, it will offer features such as the debit card, free ATM withdrawals, paycheck advances and quite a bit more. Now, I’d like to spend a minute or two on operations. We have a multiple pronged approach to improve business processes, technology and create scale economies from our continued revenue growth. Acquisitions are an important part of this strategy. We’re pleased with our performance in this area. We’ve executed several payroll transactions that should lead to higher revenues and profitability over the coming years. We believe that our established playbook is highly effective in maximizing the margin potential of these new acquisitions. The playbook offers us to efficiently transition these acquisitions onto our platforms, cross-sell our enhanced capabilities, which we believe will enhance profitability with scale. We continue to enhance our client experience with new technology, with the goal of integrating all Asure solutions on a common modern user interface with leading capability. We will continue to move the ball forward in this area and have several enhancements coming over the next several months. Now, turning over to 2024 guidance, based on our current business trends, we’re updating our 2024 revenue guidance to a range of $119 million to $121 million. We now expect adjusted EBITDA margin of between 18% and 19%. We’re also giving our initial 2025 revenue guidance of $134 million to $138 million and adjusted EBITDA margin of between 23% and 24%. The measured margin reflects the value of scaling the business. Now, I would like to hand it off to John, to discuss our financial results in more detail. John?
John Pence: Thanks, Pat. As Patrick mentioned at the beginning of this call, several of the financial figures discussed today are given on a non-GAAP or adjusted basis. You will find a description of these GAAP to non-GAAP reconciliations in the earnings release that was made available earlier today. The reconciliations themselves are also included in our most recent investor presentation posted in the Investor Relations section of our website at investor.asuresoftware.com. Now, on to the third quarter results. Third quarter revenue was $29.3 million nearly unchanged relative to prior year as ERTC non-recurring revenue declined by nearly $5 million which was offset by a $5 million or 20% improvement in recurring revenue. As Pat mentioned, the quality of our revenues improved market relative to prior year with recurring revenue now representing 98% of the total revenue compared with 81% a year earlier. Third quarter recurring revenue growth was broad-based and led by our recent acquisitions and several significant payroll tax management sales. Net loss for the third quarter was $3.9 million versus a net loss of $2.2 million during the prior year period. Gross margins for the third quarter decreased to 67% from 73% in the prior year. Non-GAAP gross margins for the third quarter decreased to 73% from 76% in the prior year period. We continue to believe there is substantial margin upside over the longer-term as business scales. EBITDA for the third quarter was $2.2 million down from $3 million in the prior year period. Adjusted EBITDA for the third quarter decreased to $5.4 million from $6.2 million in the prior year period and our adjusted EBITDA margin was 19% in the third quarter compared to 21% in the prior year. Third quarter EBITDA reflects the revenue trend and transition to higher recurring revenue, lower ERTC revenue and select investments in the business to support revenue growth. We ended the second quarter with cash and cash equivalents of $11.2 million and we have debt of $7.5 million. Now, in terms of guidance for the fourth quarter 2024, we are guiding the fourth quarter revenues to be in a range of $30 million to $32 million. Adjusted EBITDA for the fourth quarter is anticipated to be between $6 million and $7 million. At this time, it appears that the 2024 revenue will fall a bit short of our initial expectations, which is primarily the result of all revenue from new product introductions and the variability and timing of the execution and implementation of a few large enterprise tax deals. We closed the quarter with over $67 million in contracted backlog. This represents an over 250% increase from the previous year. We feel we have made important strides in 2024 and have strong momentum as we look forward to 2025. We are providing an initial 2025 guidance to be in the range of 134 million to $138 million with adjusted EBITDA margins of between 23% and 24%. Our 2025 revenue guidance does not include potential acquisitions, though we do still plan to continue to execute acquisitions in the future. In summary, we are excited about the opportunities that we have for the balance of 2024 and 2025. The headwinds from ERTC have now faded and our focus is to continue the growth of the business while creating more shareholder value. Before turning the call back over to Pat, as I just referenced, our long-term business model assumes a complement of both organic and inorganic revenue growth. To this end, as the debt markets become more favorable, we are evaluating the use of various forms of debt financing potentially during 2025. We believe that having options for financing in place as we focus on growing the business is prudent, but we do not intend to over leverage the balance sheet to achieve our objectives. I also want to mention that after the market closed today, we announced the entering of a sales agreement for an at-the-market or ATM offering, which will augment our existing S-3 filing. While we do not have any immediate intention to utilize the ATM, we have established an ATM to give us additional flexibility in the future for funding opportunities should they arise. With that, I will turn the call back to Pat, for closing remarks.
Pat Goepel: Thanks, John. We are pleased to report solid performance in the third quarter of 2024, our ongoing commitment to business growth, technology advancements and expanding our product offerings have yielded strong progress in the first nine months of 2024. As we work to create a more unified client experience, AsurePay will be the latest addition to our product portfolio. It is an innovative online banking alternative delivered through an intuitive mobile app for employees that features things like debit card capability, free ATM withdrawals and paycheck advances plus more. We have announced multiple solutions over the last few quarters to add to our client experience with products, which will help the small businesses complete background checks, uncover tax credits that they may be eligible for, ways to lower healthcare premiums and through an acquisition, we added an applicant tracking technology to our portfolio, which will aid them in the hiring process. These additions will aid us in attracting potential new clients as well as cross-selling existing clients. We’re a relatively young company in the Human Capital Management space and we’re continuing to build out our capabilities as we plan for future growth. In summary, we’ve delivered another solid performance in Q3 with 20% recurring revenue growth, bookings growth of 141%, a strong backlog which grew over 35% from Q2 and over 250% from Q3 2023. We have executed well on our plans for acquisitions with 12 deals completed over the last 12 months that bring in approximately $15 million in aggregate ARR and our pipeline for future deals remains healthy. Recurring revenue as a percentage of total revenues in the third quarter was 98%, which increased from 81% in last year’s third quarter and shows our ability to grow a high-value revenue stream. Our guidance at $134 million to $138 million in revenues for 2025 implies double-digit growth without acquisitions and the headwinds from ERTC have dissipated. We look forward to the exciting opportunities we have the remainder of 2024 and into 2025. We will continue to provide innovative Human Capital Management solutions that will help small businesses drive human capital managers management providers grow their base and large enterprises streamline tax compliance. Thank you for listening to our prepared remarks. So with that, I’ll turn the call back to the operator for the Q&A session. Operator?
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Joshua Reilly with Needham & Company. Please proceed with your question.
Joshua Reilly: Got it. Thanks guys for taking my questions here. So, maybe just starting off, if you look at the lower revenue for the quarter than what was expected at the midpoint of guidance, maybe just some more color on what was different versus your internal plan entering the quarter? And, as you think about the initial guidance for 2025 that implies about 13% growth at the midpoint. What gives you confidence based on your internal planning that’s the right number given there’s going to be a headwind to float income most likely next year?
Pat Goepel: Yes. Josh, thanks for the questions. First of all, as I think about last year, the big questions were, hey, ERTC pause, how are you going to ever grow over it, all that kind of stuff. We laid out a plan and we think for the most part we’ve executed fairly well. I think as I look about the third quarter, first of all, we probably modeled in the area at 95% recurring revenue or repetitive revenue. The difference around that 3% at 98%, 98% is not bad and it’s pretty good, but a lot of cases it was timing around some big deals in professional services. Over time that’ll the backlog’s grown quite a bit. So, it’s book-to-bill timing on some of these large deals. Professional services had an impact here in the third quarter. And, then as I look forward, there’s a lot to celebrate. Sales was up 141%, backlog is up 250%. I own the timing and I screwed up. We got to yes on a lot of good deals. It’s just they were a little bit delayed in a timeframe where we’re expecting a ramp. This is not a question of if, it’s a question of when, and that probably was a quarter too early here on some things. That being said, some of the progress we’re making around AsurePay, around 401(k), around some of the rounding out of offerings is very strong. The momentum in the marketplace, 141% sales growth doesn’t happen often. And, then it’s just the timing of some of these deals where we had modeled in kind of that July, August and then it comes in September. Should I have known better? Maybe, and I own that and I’ll be better than that in the future. And, when I think about as we had in the fourth quarter, last year I think we were in the 26% range with a million of ERTC. We’re guiding the 30%, 32% we’re already kind of there. And if you just take implementing sales and the backlog, you get to that 12%, 13% pretty quickly. So, we’re pretty confident. Yes, it’s a timing pill that we all have to accept, but from success of the business, it’s not a question of if, it’s a question of when.
Joshua Reilly: Got it. That’s helpful. And, then just maybe following up on the enterprise payroll tax. I’ve gotten a lot of questions on that over the last quarter. Maybe can you help us understand better like how long is the sales cycle there? How much of that is direct versus through partners? And, what’s the level of visibility that you feel like you have now that you, these deals are kind of progressing over the next few quarters? Thanks guys.
Pat Goepel: In addition, Thanks Josh, in additions [truncan] (ph) I have Eyal Goldstein, who is our President and Chief Revenue Officer and is on the point of some of these solutions. But a couple of things, first of all, we do have a couple of different models where we’ve been successful in the integrated channel is small business payroll, right? Well, we don’t compete, let’s say, in the PEO market and we’ve announced a really solid partner in venture and that’s gone very well. In the large end, we don’t compete in the large offering of payroll, but we have some core competency in tax filing and money movement and tax filing and we’ve had a lot of success. And, we’ll disclose names as we go live and go a little bit further, but we’ve been very successful. So, it’s not a one-size fits all. Where our model has been delayed a bit is sometimes the contract process, we probably have been used to a motion of around 30 days to 60 days. In some cases, it’s 90 days to 120 days on the contracting. And, then where we also have done a really nice job of bringing people live within 60 days, if they’re already on the current ERP solution. But, in some cases, if they’re moving to an ERP solution, we’re at the whim of maybe an IT integrator, we’re at the whim of them first installing the ERP solution and then the tax filing solution. So, that’s kind of the sense on book-to-bill. And, then the other thing is we have integrations with 27 other payroll companies. That’s a big number and that’s 27 payroll companies that are bringing us or will bring us clients in the future and they’re doing a lot of the selling etcetera. So, our solution has a lot of legs. We’re early innings. We got a lot of momentum. The timing will get better on and I’ll get better on it. But, the good news is good pipeline, strong implementations that have gone live that are referenceable and this is more contracting book-to-bill timing of ERP conversion versus anything else. I’m going to just maybe, Eyal, you’re on the front end of this stuff. Anything you want to add?
Eyal Goldstein: Yes. I would say, Josh, the only other thing I would add is it’s a combination of direct to enterprise Fortune 500 opportunities or customers as well as working with some larger system integrators that gives us the opportunity of some of these more one to many, where we can do a deal with the integrator and ultimately all of their clients as they come online, we get credit for and revenue from. So, it’s a combination of both of those models.
Joshua Reilly: Got it. Thanks guys. I’ll pass the queue.
Pat Goepel: Thanks, Josh.
Operator: Thank you. Our next question is from Brian Bergen with TD Cowen. Please proceed with your question.
Jared Levine: Hi, this is actually Jared Levine on for Brian tonight here. First question here, can you go over the underlying assumptions to your FY ’25 revenue guide here, including what that includes for inorganic based on both planned M&A as Wells already announced M&A here in FY ‘24?
John Pence: I think the only thing for the ‘25 guide, we do have one deal that we’re anticipating closing this quarter. The rest of the guide does not assume any incremental acquisitions post fourth quarter.
Jared Levine: Okay. What about employment growth, any macro conditions, anything more there to kind of shed light on in terms of those underlying assumptions there for ‘25?
John Pence: I would say the only big assumption that we’ve played in is interest rates, right. So, rough order of magnitude, we’ve historically been sitting on approximately $200 million of client funds. The way we look at it about a half point is about, I think about a $1 million a year, so about $250 million a quarter. So, we’ve played into our models approximately I got 3.5% terminal rate from the Fed. So, we’re looking at roughly between and they’ll have some impact on the marketplace as well just because of the mortgage rates and it’s a little bit more complicated. But, the gist of it is, I think we have roughly kind of a $1 million a quarter, we think of headwind into 2025 per quarter. So, to give you some sense, that’s one of the probably key underlying assumptions we put in. I don’t think we’ve modeled anything really differently in terms of employment.
Pat Goepel: Yes. If you think about same-store sales, it’s relatively flat. I would tell you in small business the biggest issue is access to people. If I look at a trade association whether it’s plumbers, welders, even restaurant tours, they can’t get enough people and we’re obviously trying to help them with our value proposition, access to capital, access to people and compliance. But, we’ve modeled kind of a flat, if we do get some upside that’s great.
Jared Levine: Got it. And then last question here, can you talk about the drivers of this notable margin expansion you’re pointing to for FY 2025 here relative to your current FY 2024 guide?
Pat Goepel: Well, just simply put sales up 141%, the backlog up 250%. Last year at this time, I think we had something like $19 million in backlog, we have $67 million right now. Some of this is just the momentum that we’ve had. If you think about the first quarter coming off ERTC, we were about 3.5% organic growth. And, if you think about kind of where we were at the time, the sales motion pivoting from ERTC with a lot of new products, we had to take some time to train those products and roll those out. One other stat that just if you think about what products we’ve added here over the last year is, first of all, common user interface across all employees. We have a common employer user face that we’re rolling out. If you think of PEPM or per employee per month, our capacity beginning in the year was what I’ll call a soft $40, because it was $40 a month relative. We had some products that were relative new. We’re probably in the neighborhood now of about $165 per employee per month. So, if you think about that capability, we’ve added a AsurePay that we just announced here in November this month. We’ve announced the brokerage business, the recruiting product, preventative health, workmen’s comp. So, we’re really rounding off the offering. And like I said, we’re relatively early business that’s building out all these capabilities and we have a lot of momentum. And then the sales backlog bode really well for the future here. And then coming off ERTC, ERTC now in the fourth quarter, I think we had $1 million contribution. Next year was about $1.5 million that we had this year. We’re through that, so tremendous amount of confidence.
Jared Levine: Got it. And then, John, real quickly, can you talk about the drivers to margin expansion you’re pointing to for FY ‘25? It looks little over 3 points or so pretty notable. So just be curious on those margin expansion drivers for next year?
John Pence: Yes, I think we’ve been pretty consistent just in terms of this being a scale business. With the top line, we don’t expect to add a lot of extra cost to service that top line. We feel like a lot of that incremental growth on the top doesn’t come with incremental cost just by the nature of some of these deals. I mean, when you sign some of these large tax deals, it doesn’t change any rewrite of the code. It’s just a lot of really good top line growth without a lot of incremental costs. So, I think that’s the primary driver, it’s just scale. It’s the same thing we’ve been saying all along. We think this business should be as we start to crest $200 million that we should at least be at a minimum of 30% bottom line contributor in terms of cash. So, I don’t think there’s anything more than the weigh station along the way.
Pat Goepel: Yes. And maybe just if I could add, 2021, I think we were at 10% non-GAAP EBITDA. This year we’re 19% or so, 20% last year. Next year in the guide we’re going to increasingly go up. And then if you think about some of the things we just talked about with the let’s say the employer kind of user interface and common employee user interface. If you think about some of the validation tools and AI that we’re rolling out, rework is going down quite a bit. The ability to scale operationally has gone down. We’re able to take out kind of some non-customer service sets at an increasing pace with some of our technology projects. So, all of that is adding up to we have really visibility of margin expansion, but we’re really early. We think we can do quite a bit more.
Jared Levine: Great. Thank you.
Operator: Thank you. Our next question is from Eric Martinuzzi with Lake Street Capital. Please proceed with your question.
Eric Martinuzzi: Yes. I wanted to categorize the delta between the old 2024 revs and the new 2024 revs. And by that, I mean, the midpoint. So, you went from a midpoint guide of $126 million to a midpoint of $120 million, so $6 million in total. We came up short by about $2 million here in Q3, and obviously that implies $4 million in Q4. So, I’m hoping to put it in three different buckets here. You talked about, number one, lower revenues from new product introduction; number two, a few large enterprise tax deals that slipped; and then number three, it sounds like pro services. So can you bucketize that $6 million?
John Pence: Yes, I would just give I’ll give you my first point. I think I would tie the pro services to the tax deals themselves, because most of that pro service is going to go with the install timing. So that’s where I would then I’ll let Pat kind of give you his feelings on those.
Pat Goepel: Yes. Eric, it’s not a perfect science as we think about it. But I would say just roughly we’re about 3% a quarter more repetitive than we thought we would be. And so if you think about third and fourth quarter that’s about $1.8 million or so. Now whether we end up that perfectly or maybe we get some stuff started and that $1.8 million almost exclusively is timing of some of the tax deals. And by the way, it’s not that we haven’t signed them, it’s just when we get them started and get people and all that kind of stuff. So, a third of let’s say that $6 million or 30% is in the PS. From a timing in general, I would say we’re probably roughly a third. So, if you think about let’s say 401 you think about preventative health, if you think of our PayCard rollout, in general some of the new products and the book-to-bill and client adoption probably is roughly a quarter behind or so. Some of that varies based on those products. So, the timing of some of the new products I would say probably is another somewhere around $2 million. We did have kind of a deal we thought we would have on the acquisition front and that I think will not happen or if it does happen it will be in 2025. So, if I look at where the ramp and the guide was, we’ve overachieved on the sales side. We’ve overachieved on getting backlog. The timing in a backlog is the other kind of remaining thing, but that’s where if I were to look at it, it’s about a third in Professional Services, about a third in the rollout and then third about timing, maybe $1 million or so on the one deal with acquisitions that’s probably 2025.
Eric Martinuzzi: Okay. And then just a clarification, was there any ERTC revenue in Q3 of 2024?
Pat Goepel: It was the minimis.
John Pence: I think we had some, I think it was like $100,000 maybe $150,000 all in.
Eric Martinuzzi: Got it. Thanks for taking my question.
John Pence: Sure.
Pat Goepel: Thank you, Eric.
Operator: Thank you. Our next question is from Jeff Van Rhee with Craig Hallum Capital Group. Please proceed with your question.
Jeff Van Rhee: Great, thanks. Just to follow-up on Eric’s question there, with respect to the tax deals that push that contributed to this meaningfully this $6 million miss, how many tax deals are we talking about?
Pat Goepel: Well, we have a large integrated deal where it could be as much as the 50 deals right or more. And so the timing around some of those moves, so if you think about it, they have different ERP platforms, they have Oracle, SAP, Workday. And without getting too deep into that, we’re over time going to be their provider. And so that provider is a kind of a licensed solution plus a professional services component to it. And so that is really kind of probably the biggest area. There’s been some other deals where that’s some one-off bigger deals that, they have to implement first on ERP solution and then they go to tax and they might have kind of one has Capgemini involved in it. So, they have a consulting firm bringing them live. Once they go live, they go to us. They’ve moved some of those ERP implementations. But it’s probably in the area of 50 plus.
Jeff Van Rhee: Okay, that’s helpful.
Pat Goepel: And then just really quick, Jeff, by the way, there’s parts of it that are starting to go live as we speak. So, this is truly a timing thing. Nothing more, nothing less. And I’ll take ownership that I was either too optimistic or didn’t do it, didn’t forecast it privately or publicly as well as I should have. But I will tell you, I mean, it’s not like we didn’t sign it. It’s not like we don’t have things going really well. It’s just the timing of it.
Jeff Van Rhee: John, do you have a sense on free cash flow conversion in 2025 on the $32 million EBITDA midpoint?
John Pence: Yes, I think just similar type answer that I would give you in ‘24. I mean our big deltas between the adjusted EBITDA number and the free cash flow are really software cap, which I don’t see changing tremendously. So, I think this year we’ll probably be capping about $10 million, right? I think that the other big delta is commissions. And so I believe that we should be kind of in the 20s, we are stepping up from where we were this year in terms of free cash flow is a simple answer, because I don’t think there is a lot of other big delta between the two.
Jeff Van Rhee: The AR bumped up when you really got heavy into the ERTC, it’s still elevated. Is there a scenario in ‘25, do you expect that to come down? Just talk about maybe your thoughts on AR for the year?
John Pence: I hope so. I mean, so we when they went through the pause of ERTC, it was truly not even a pause, it was like a freeze. So, I would say between September of last year, kind of September 14th August of this year, almost no movement really in terms of the IRS letting checks flow. Early in August and I would say in September, we actually started to kind of see that logjam break. We have visibility through our systems into the IRS. So, what we have is like an early warning sign. So, there’s usually like about two or three week lag between when the IRS says, hey, we’re going to issue a check and when they actually cut the check. So, we have about three to four week head start when we know the IRS is about to start releasing funds. We’ve seen early signs of sprouts that we haven’t seen for the previous 12 months. So, I do believe that if the IRS kind of continues on its current trajectory that number should come down. Hopefully, it’s really somewhat at their whim as to how quickly they start to kind of unload these things. But I do believe it’s coming down. That’s the major change in the AR balance that we’re still waiting on.
Jeff Van Rhee: Okay. And then just two quick last for me. One on the debt side, as you continue to make acquisitions, just what is an acceptable leverage level that you think you would not be comfortable going over? And then on the sales reps side, I know last quarter you said you were tracking for 130 by year end, where did you end the quarter and is 130 still the right target?
John Pence: Yes. So last question first, I believe that is still the right target. I think we’re probably in the 115, 120, Eyal can correct me if I’m wrong in that range at the end of the quarter.
Eyal Goldstein: Yes.
John Pence: And then in terms of the leverage, I think we’d probably be comfortable with about two times is probably the max in terms of leverage on the business. And that should be plenty. If we continue to acquire at the current pace, I think that’s plenty to cover that. I mean, Pat, I don’t know if you have a different opinion.
Pat Goepel: No, we’re comfortable at that level. We think we have some opportunities to drive and again with the expectation that scale will drive margin expansion where that’s our journey.
Jeff Van Rhee: Okay, great. Thank you.
Operator: Thank you. Our next question is from Brad Reback with Stifel. Please proceed with your question.
Brad Reback: Great. Thanks very much. Pat, appreciate you taking ownership of the miss this quarter. Can you give us a sense what level of cushion you baked into 4Q?
Pat Goepel: Say that again, Brad. I’m sorry. I just want to make you faded out a little bit.
Brad Reback: Sure. Can you give us a sense of what level of cushion conservatism you’ve baked into the 4Q guide?
Pat Goepel: Yes. I mean, I think when we look at it, we wanted to make sure that we built a foundation as we look in fourth quarter and 2025 that we had something to build off of. As far as visibility and starting work, we’re not betting too much on a contract needing to be signed and then we get it implemented. So, we’re looking really at the backlog. We’re looking at we do have one acquisition that we anticipate closing as a strong NOI that’s in it. And then we have revenue that has already started that let’s say it started for a month in the third quarter, it will roll into fourth. So that’s pretty certain. So, the $30 million to $32 million we feel we should be able to hit and hit nicely. We’re not betting on the comp. I think in retrospect, I think one of the things coming out of ERTC last year with a guide is people kind of said, hey, you’re coming from a flat start on ERTC. We explained that scale was important and we’re going to get there multiple ways. I do think our team has worked their butt off this year in getting that and largely executed. It’s the timing of it. And so when we set the reset expectations here fourth quarter and next year, what we want to do is not get ahead of ourselves. And then we took out acquisitions on the guide, which you coached to sign and others. And now we have an opportunity to just be in a position where we can exceed expectations. And then we also put in a plan that John referenced that we expect interest rates to go down. So, we’re thoughtful about some of the minor headwinds that we have as we look at next year and fourth quarter.
Brad Reback: Great. Thanks for that. John, free cash flow conversion has actually been negative through the first nine months, I think to the tune of $8.5 million. Can you kind of walk through what’s going on there and how that reverses? Thanks.
John Pence: I think if you’re putting in acquisitions, I think that’s going to be the key delta to that number, right?
Brad Reback: I’m not. No, I’m only using OCF minus the GAAP software.
John Pence: You’re talking about off the GAAP balance sheet or the GAAP cash flow? Yes. So, I mean, I don’t spend a lot of time looking at the balance sheet movements honestly, because of just the it’s just a timing issue. I’m looking more from a bridge to the adjusted EBITDA number in my mind. I’m not really focused on the movements on the balance sheet as much. So, I’m happy to kind of spend some time and I’m happy to help kind of bridge back to it, but I’ve not spent a lot of time trying to bridge the operating cash flows off the GAAP cash flow.
Brad Reback: Okay. Thanks.
Pat Goepel: Thanks, Brad.
Operator: Thank you. Our next question is from Greg Gibas with Northland Securities. Please proceed with your question.
Greg Gibas: Hey, Pat and John. Thanks for taking the questions. Does your guidance assume that some of those large deals you spoke to on the tax side that you kind of said were matter of when not if, does guidance for next year assume those kind of kick in Q1 or likely later regarding implementation recognition?
John Pence: I think it’s a little bit of both, right? Some of these got signed in the second quarter, some of them got signed in the third quarter of meaning. I mean, it’s a whole cadre. Right? So, we have one, for example, that we expected to start in January of ‘24 that it went live in August as an example, large steel company, 20,000 employees. We’ve got, as Pat mentioned, I think in his prepared remarks, we’ve got one of the largest grocery store chain that we expect to go live in January, but some of that’s a little bit out of our control. We right now are anticipating that one going live January 2025. And then as Pat and Eyal referred to, we’ve got some large integrators that we’re working with. We think that some of that’s going to go in earnest this quarter. But again, some of it’s in our control, some of it’s not. We’re a little bit at their mercy as to how quickly they can keep pace. So, I would say some of it is in this quarter, some of it’s into 2025.
Pat Goepel: Yes. Some of them, we have a license deal that we get some revenue now, but then we also implement through the fourth quarters of next year. So, some of it is, the timing is down, some of it is quarterly over 2025. So, it’s not a one size fits all. I will say the pipeline is pretty robust and the sales order metrics are very strong and then the backlog is strong. So, it will go throughout 2025.
Greg Gibas: Okay, got it. And then, wanted to ask just I guess organic growth expectations implicit in your Q4 guidance and maybe for 2025 as well. And I guess another way to ask too, is the $15 million ARR, how much of that do you expect to recognize this year or I guess capture this year? Just trying to get a sense of within your guidance kind of what’s on the organic growth side?
John Pence: Yes. I think and I’m going to go I don’t have it in front of me right now, but I think it’s roughly high single digits of organic in the fourth quarter. It will be and then the rest of it will be inorganic.
Pat Goepel: And then as far as acquisition rollover, we probably have somewhere around $6 million or so in that area of the 15% and probably some headwinds on flow. But the organic growth coming off of it should be probably in the neighbourhood without acquisitions 12%, 13% a quarter throughout ‘25.
Greg Gibas: Okay. That’s helpful. And I wanted to just kind of touch on the acquisition of HireClick. Could you kind of discuss the strategy or synergies there and maybe share any valuation metrics of that transaction?
Pat Goepel: Yes. I think and Eyal maybe jump in here too. We have a value proposition for our small businesses that Asure will help them be compliant whether that’s payroll, tax filing as well as HR, so they can focus on growing their business. And then when we talk to small businesses, they want to be compliant because the changing legislation is very difficult. They also want access to capital and we’ll give them either access via 401K pretax program, health programs, tax programs, etcetera, and then access to people. And within the acquisition of HireClick, we partner with either local job boards or interface with national job boards where small businesses can stick out. And if they can stick out and hire people that can drive their business forward. So, we have really good plans on growing revenue within, HireClick. It’s part of our value proposition, part of our bundles. We anticipate that we’ll get a lot of momentum. Eyal, anything you want to add?
Eyal Goldstein: Yes. I would say Greg, the only other thing I would add there as it relates to the recruiting piece and a key part of our value proposition is we’re seeing a consistent theme and there’s data out there around job openings, for small business. It’s still in that 10% plus range. And so our customers both prospects and current customers are still dealing with looking for really good people to hire and consistently looking to fill job openings. So, that’s still a challenge for Main Street USA and our customer base and our ideal client profile. And so the technology is really critical there to help close that gap. And it also plays really nice with our HR compliance services as it relates to creating job requisitions, job descriptions, interviewing skills and hiring new employees as well.
Greg Gibas: Understood. Thanks guys.
Pat Goepel: Thank you.
Operator: Thank you. Our next question is from Charles Nabhan with Stephens. Please proceed with your question.
Charles Nabhan: Hi, good afternoon and thank you for taking my question. Most of my questions have just been have been asked but, you had cited a multiple of 2.6 times on average for your acquisitions from the past 12 months, if I heard you correctly. Wondering if you could parse that out between the resellers versus what types of multiples you’re seeing on ancillary solutions such as HireClick?
John Pence: Yes. I mean, I think it’s from my perspective, I think 2.6 is a really good proxy, right. We’ve had some outside of the resellers that have been on the high end and I would say we had one that was really, really very, very low end in terms of multiple. So, I think it still pretty much holds true that 2.6 is a good proxy for the overall mix. I don’t know, Pat, if you have anything.
Pat Goepel: No, I think you’re spot on. We had the recruiting one probably was a little bit higher multiple. The brokerage business was a little bit lower. The resellers are in that area. We do kind of are thoughtful around either a seller node or what have you to take care of indemnification issues. So, we’re right where we want to be in building out the solution set. And as we get scale, obviously, we feel that we’re going to grow revenues and EBITDA to have an arbitrage on that 2.6. And from our perspective, they’ve done exactly what we wanted to do. And then organizationally, we’ve been able to implement them and we think we have a really good foundation for ‘25. Actually it’s frustrating sometimes with timing, but like I said, we’re really pleased with what we’re doing here. Now we just got to get in the right position where I set the right expectations and the scoreboard shows it.
Charles Nabhan: Got it. And as a quick follow-up, I wanted to ask about the competitive environment, specifically what you’re seeing from the larger legacy competitors and maybe anything different, any changes in the competitive landscape down market as well?
Pat Goepel: Yes, I’ll let Eyal touch on that.
Eyal Goldstein: Yes. We’re seeing the consistent theme that we’ve seen before, right. It’s the big guys ADP and Paychex really. We’re seeing some of the pays come down a little bit, but still there hasn’t been much change from a competitive landscape for us, where we’re playing in the tax business. There’s ADP with their standalone tax solution and that’s primarily who we see in that part of the business as well.
Charles Nabhan: Got it. Appreciate the color. Thank you very much.
Pat Goepel: Yes. Thank you. Thank you.
Operator: Our next question is from Vincent Colicchio with Barrington Research. Please proceed with your question.
Vincent Colicchio: Yes. Most of mine were answered as well. Pat, how does your bookings break down between new and existing clients?
Pat Goepel: We’re about 70-30. New, yes. So, I would say 70-30 new to existing. What I would say with the amount of, if you think about what we’re trying to roll out, we’d like to almost flip that over time. We think we have that opportunity. Some of it will be almost immediate in those opportunities and then some of it’s going to take through 2025 as we continue to build out technology and have programmatic sales throughout the product line and almost have it bent driven kind of sales. So, we’re working on that stuff. A lot of calories internally are working on that. But what I would say and Eyal has been really thoughtful about how we drive kind of more and more cross sell opportunities. And then the per employee per month, if you think about our capabilities, let’s say last year was roughly $40 per employee per month. Now we’re somewhere in the area of $165. So, we have an opportunity to really offer some of those. Now there’s a stair step approach around technology, event driven marketing, kind of training the sales force etcetera. So, we’re middle of the movie there or maybe really early in the movie. But over time, we’d love to see the 70-30 flip to 30-70. Now, the ability to sell new logos is really a great position for us to be in. We’re very pleased with those efforts. So, we want if I look at flipping the model from 70-30 to 30-70, I don’t want to slow down new logos. I just want to increase the wallet share of our current clients.
Vincent Colicchio: Thank you.
Pat Goepel: Yes, thank you as well. Operator, any further questions?
Operator: There are no further questions at this time. I’d like to turn it back to management for any closing remarks.
Pat Goepel: Yes. First of all, thank you. I know sometimes it’s disappointing when you have kind of an immediate stock drop etcetera. I just go back. First of all, I want to thank the 630 employees. They’ve done a great job with Asure. They carry our banner each and every day. This is not a question of if, it’s a question of when. And we’re moving in the right direction. If we looked at last year at this time, there were so many questions around ERTC pause all that stuff. We got through all that noise. We went on a journey that said, hey, we’re going to replace ERTC revenue and we did. And if you take a look at what we’re doing internally where sales are up 141%, where backlog’s up 250%, when we’re rolling out the kind of products we are in rolling out the wallet share, When you think about our technology team that’s innovating each and every day, when you think about AI and what our ability to kind of grow margins that we put in 2025, the only person here that screwed up was me. And I screwed up based on the wrong expectations. But I’ll tell you what, we’re not for the faint of heart. We’re going to grow this business. We’re going to grow it profitably and we’re going to do really good things. So, I ask for your patience around that. You won’t have to wait long and I appreciate your time today. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.